Operator: Thank you for standing by. My name is Debbie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Miami International Holdings, Inc. Fourth Quarter and Year-End 2025 Earnings Call. [Operator Instructions]. It is now my pleasure to turn the call over to John T. Williams, Senior Vice President and Head of Investor Relations. You may begin your conference.
John T. Williams: Good afternoon, and thank you for joining us for Miami International Holdings or MIAX's Fourth Quarter and Full Year 2025 Earnings Conference Call. I'm John T. Williams, Head of Investor Relations. With us today are Thomas P. Gallagher, Chairman and Chief Executive Officer; and Lance Emmons, Chief Financial Officer. We will also have Douglas Schafer, Jr., Chief Information Officer; and Shelly Brown, Chief Executive Officer of MIAX Futures and Chief Strategy Officer, joining us for the Q&A session following our prepared remarks. Our earnings announcement was released prior to this call, and we have published an accompanying slide presentation on our Investor Relations website, ir.miaxglobal.com. In addition, this call is being webcast, and an archived version will be available there shortly after the conclusion of the call. Our discussion today includes forward-looking statements that are based on the expectations, estimates and projections regarding the company's future performance, anticipated events or trends and other matters that are not historical facts. The forward-looking statements in our discussion are subject to various assumptions, risks, uncertainties and other factors that are difficult to predict and which could cause actual results to differ materially from those expressed or implied in the forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. We refer you to our earnings press release and filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the future operating results and financial condition of MIAX. We do not intend to update any forward-looking statements made on this conference call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During today's call, we will refer to non-GAAP measures as defined and reconciled in our earnings materials. With that, I'll now turn the call over to Tom.
Thomas Gallagher: Thanks, John, and welcome to MIAX. We're excited to have you on board as our new Head of Investor Relations, taking over for Andy Nybo, who will turn his focus back to Corporate Communications. Thank you all for your interest in MIAX. What an extraordinary year 2025 has been, as we've achieved significant strategic milestones while delivering outstanding financial performance across our business. Today, I will provide high-level fourth quarter and full year results, update you on our business segments and discuss key strategic developments. Then Lance will walk through our financial highlights and our 2026 guidance. For the fourth quarter, total net revenue grew 52% year-over-year to $125 million. Adjusted EBITDA more than doubled year-over-year to $62 million, and adjusted EBITDA margin improved by 1,400 basis points to 50%. Q4 adjusted diluted EPS was $0.52. For the full year 2025, total net revenue grew 56% year-over-year to $431 million, and adjusted EBITDA more than doubled to $199 million. Full year adjusted EBITDA margin was 46%, reflecting 1,600 basis points of year-over-year improvement, while adjusted diluted EPS was $1.82. These impressive results reflect our ability to capitalize on elevated market volatility and drive continued volume and market share gains across our core business lines. Our market share in multi-listed options grew to a record 18.2% in the fourth quarter, up from 15.9% in the prior year period. This represents average daily volume of 11.1 million contracts, a 46% year-over-year increase that far outpaced industry ADV growth of approximately 28.4%. We have significantly increased our market share over the past few years and see additional opportunities for further expansion. And we'll continue to balance market share growth with healthy RPC levels. 2025 also brought several transformational developments for MIAX. Following on our successful IPO, we completed a secondary public offering in December with the closing of a public offering of 7.8 million shares of common stock, which consisted entirely of secondary shares. While MIAX did not sell shares or receive proceeds from this offering, it represents another milestone in our evolution as a public company and enhances our liquidity. In late '25, we announced the strategic sale of 90% of MIAX Derivatives Exchange or MIAXdx to Robinhood Markets in partnership with Susquehanna International Group while retaining a 10% equity stake. This transaction, which closed in January of 2026, provides MIAX with expedited access to the growing prediction markets through our retained equity position while also enabling us to maintain focus on our core product offerings. The strategic alignment with Robinhood and Susquehanna closely aligns with our approach of partnering with industry leaders to offer innovative trading products, and we're excited about the long-term value potential that our equity stake creates for MIAX's shareholders. Our MIAX Sapphire options trading floor in Miami that we launched in the third quarter continues to perform in line with our expectations and demonstrates the continued value of floor-based trading in today's hybrid market structure. We continue to build out new and innovative functionality to support the needs of our floor broker community and their customers, and we intend to roll out a number of additional enhancements in the first half of 2026. Miami's emergence as Wall Street South continues to accelerate, and we're proud to be at the center of this transformation as we look to scale our market share over time. Reflecting back on other notable accomplishments in 2025. The acquisition of TISE enables us to expand our international footprint, the launch of MIAX Futures Onyx and the completion of the new MIAX Futures clearing infrastructure allow us to provide the industry with a high-performance proprietary trading and clearing platform with state-of-the-art risk management capabilities. We remain very excited about our Bloomberg Index Futures products and plan to launch B100 and B500 Futures in the second quarter of 2026. While we previously communicated a February launch date, we recently made the decision to reschedule it to ensure we have the same reliability and performance profile on our futures platform that we pioneered in options markets. Importantly, we want to ensure the full ecosystem of participants are, in fact, connected to the new exchange on day 1. We will be introducing retail size contracts first to meet retail broker demand for access to products with low trading fees. We are also focused on offering products to meet emerging retail investor demand that allow them to hedge and efficiently manage exposure to equity markets. We maintain strong conviction in the strategic importance of these products to MIAX's long-term growth trajectory. Taking a broader look at several of our business segments. The options market environment in 2025 was exceptionally favorable for MIAX. Industry volatility remained elevated throughout the year, driven by a complex web of factors. While many businesses are volatility adverse, for MIAX, volatility creates increased demand for risk management tools and our technology infrastructure has proven its resilience during these high-volume periods. We expect elevated volatility throughout 2026, driven by geopolitics, domestic policy and political dynamics, tariff impacts and the evolving AI investment cycle. We're particularly excited about the rapid growth in new Monday and Wednesday short-term expirations in single stocks. This market segment has become increasingly important to retail and institutional participants alike. And our technology advantage with industry-leading throughput, low latency and deterministic performance positions us exceptionally well to capture this growing opportunity. We listed new Monday and Wednesday short-term options in 9 actively traded options classes, which we expect will contribute to both industry and our volume growth in 2026. Furthermore, we are positioned to benefit from an improving IPO pipeline and continued growth in structured products that use options as part of their strategies. Together, these should create additional trading opportunities and volume growth across our platforms. These trends, combined with our technology advantages, position us well to capitalize on the evolving options landscape. Turning to equities. Our equities business continues to evolve as our U.S. equity market presence creates strategic positioning to capture opportunities across market data and related asset classes. We have implemented an improved rate structure and reached breakeven adjusted EBITDA in the fourth quarter, demonstrating our commitment to operational efficiency. Our international operations continue to demonstrate their strategic value with the annuity value of this business becoming increasingly evident throughout 2025. We are actively working to maximize operational and revenue synergies across our TISE and BSX businesses, reflecting our ongoing commitment to optimizing our international footprint. As we look ahead, we remain focused on our 4 key competitive pillars: our differentiated technology, our broad range of regulatory licenses across multiple jurisdictions, our diverse and expanding product range and most importantly, our deep relationships with customers that allow us to develop the technology, services and products that support their evolving strategies. We are particularly optimistic about the current regulatory landscape, which creates exciting opportunities for us to expand into new products and services. On the operational front, we see opportunity to expand our market share on the MIAX Sapphire trading floor as we continue to enhance functionality to support demands from floor participants. We're experiencing strong growth in options products across our exchanges, driven by increased activity in short-term weekly options, the improving IPO pipeline and structured products and ETFs, all of which we expect to support sustained volume growth across the industry and on our exchanges. Perhaps most importantly, our collaboration and relationships with our members and industry participants remain strong and continue to be drivers of volume growth. These strategic relationships position us well to capitalize on market opportunities and continue delivering value to our customers as we execute on our strategic vision. Now I will turn the call over to Lance to provide details on our fourth quarter financial performance and 2026 guidance.
Lance Emmons: Thanks, Tom, and good afternoon. We had an exceptional fourth quarter and full year 2025 across our business. I will briefly remind you of MIAX's revenue model before I jump into the financial details. We generate revenue from transaction and nontransaction fees. Our key performance drivers for transaction fees include industry trading volumes, market share and revenue per contract or share, which measures the average revenue we earn per contracts or shares traded. Also, as a reminder, we provide RPC and capture rates on a 3-month rolling average basis on our Investor Relations website. In terms of non-transaction fees, we generate revenue from access fees, which we charge customers to connect to our exchanges; from market data, which we earn through direct subscriptions and through our participation in the U.S. pay plans; and from listings fees, primarily in our International segment. Full year 2025 total net revenue was $431 million, representing 56% year-over-year growth. Adjusted EBITDA more than doubled year-over-year to $199 million, and adjusted EBITDA margin was 46%, a significant increase from 30% in the prior year period. This performance demonstrates our ability to scale efficiently while also continuing to invest in our growth initiatives. Q4 total net revenue grew 52% year-over-year to $125 million, while adjusted EBITDA more than doubled year-over-year to $62 million. Q4 adjusted EBITDA margin was 50%, up 14 percentage points year-over-year. Adjusted earnings nearly tripled year-over-year to $57 million in Q4 versus $20 million in the prior year period. Adjusted Q4 operating expenses were $62 million compared to $53 million in the prior year period. This increase was primarily due to higher compensation and benefits costs, driven by planned expansion of headcount to support our growth initiatives. Also contributing to the increase were higher investments in IT and communications costs due to the build-out of the MIAX Sapphire Exchange and new technology platforms we rolled out for MIAX Futures and BSX. Moving to Q4 segment performance. Our Options segment delivered strong results with net revenue of $107 million, up 46% year-over-year. Market share was 18.2%, up from 15.9% in the prior year period. This, along with elevated options industry volume, led to the MIAX average daily volume of 11.1 million contracts for the fourth quarter, representing a 46% increase year-over-year. Our Equities segment net revenue reached $6 million, up from $2 million in the prior year period, primarily due to higher net transaction fees from improved pricing. Equities capture was net neutral for the quarter as compared to historically inverted. Our Futures segment net revenue was $5 million compared to $6 million in the prior year period due to lower listings revenues and decreased transaction fees. The decrease in transaction fees was caused by timing of participant migrations to MIAX Futures Onyx and lower commodity market volatility, partially offset by the elimination of expenses related to CME Globex. In the International segment, net revenue was $6 million compared to $1 million in the prior year period, with the increase primarily due to the acquisition of TISE in June 2025. Turning to our balance sheet. Our cash balance at year-end was $434 million, and we had less than $2 million in outstanding debt. Also as of December 31, 2025, we have classified the assets and liabilities of MIAXdx as held for sale. Now on to our 2026 guidance. We expect full year 2026 adjusted operating expenses in a range between $265 million and $275 million, representing a 13% to 18% increase over full year 2025 or a 6% to 10% increase from our annualized Q4 2025. This accounts for increased headcount and technology costs to support our new product launches, higher public company expenses as well as increased company branding and advertising. We expect full year share-based compensation expense in a range between $27 million and $30 million. The year-over-year decrease is due to IPO-related accelerations, partially offset by new 2026 grants. We expect full year CapEx, which includes capitalization of internally developed software, in a range between $40 million and $45 million and depreciation and amortization in a range between $33 million and $38 million. On our tax rate, we expect to release our deferred tax valuation allowance during 2026, reflecting our ability to realize the benefit of our NOLs. Following that release, we expect our effective tax rate on adjusted earnings to be in the range between 27% and 29%. In summary, we delivered outstanding financial results in 2025 while making strategic investments in our technology platforms and expanding our product offerings. That, along with our strong balance sheet, positions us well for continued growth in 2026. I will now turn it back over to Tom.
Thomas Gallagher: Thanks, Lance. As you can see, we are very excited about our recent progress and look forward to another productive year in 2026. We'll keep doing the things we said we'd do. We'll continue to leverage the strategic pillars you've heard me talk about before: our technology, our regulatory licenses, broad product range and relationships with our customers. These are real competitive advantages that will help us drive long-term shareholder value over time. Thank you again for joining us on today's call. We're now ready to begin Q&A. As a reminder, Doug and Shelly are here with Lance and me, so let's begin. Operator?
Operator: [Operator Instructions]. Our first question comes from Patrick Moley with Piper Sandler.
Patrick Moley: Thomas, maybe just starting off high level. You talked a little bit about it in your prepared remarks, but if you could just maybe give an update on your outlook for options volumes this year and how MIAX is positioned? And then on the market share side of things, you reported record market share in the fourth quarter. That's come down a little bit in 1Q. So just also wondering if you could talk through some of the dynamics there and how you expect market share to play out throughout the rest of the year?
Thomas Gallagher: Thanks, Patrick. Really appreciate the question. I think that the market dynamics, as we are in Q1 here 2026, are going to continue to provide volatility. Issues surrounding the tariff, issues surrounding the midterms coming up and issues surrounding some of the tension in global politics, particularly the Middle East, I think, are going to lead to continued volatility. I also think that the presence of the short-dated expirations, which just came on the market in January are going to continue to fuel strong growth in our U.S. options marketplace. So I think you're not going to see, I believe, the kind of growth we had almost 30% growth in volumes in 2025, but I think you're going to see continued growth throughout the balance of 2026. Shelly, any comment on that from your perspective real quickly?
Shelly Brown: Yes, Tom, thank you. And Patrick, thank you for the question. I agree that the growth in the industry will continue. The short-dated options in those 9 stocks, we're only a few weeks into that program. It's been successful so far, and there's certainly a chance that could expand going forward. With regards to our market share. October was an outlier in volume. While we were 18.2% for the quarter, if you look at the last 3 calendar months, November, December and January, it's been very consistent. We look at market share relative to capture, where our fees evolve according to needs within the market, but we're comfortable with the market share as it is.
Patrick Moley: Okay. Great. And then as a follow-up, on the Bloomberg derivative products that you're rolling out in 2Q, you said that you were planning to start with retail size contracts and putting those on our retail platforms. Could you talk about just your conversations with those platforms, and maybe how many platforms you plan to launch on initially and how that will scale over time?
Thomas Gallagher: I'm going to turn that over to you, Shelly.
Shelly Brown: Thank you, Tom. Another great question, Patrick. I'm not going to talk so much about how many firms. There's a lot of interest in the retail firms in these smaller products. A lot of the growth in the futures markets over the last 2 years have come from these smaller retail-sized products. We're going to start with what we call our T&E contract size for both the Bloomberg 100 and the Bloomberg 500 Index, very focused in the retail market, working closely with the liquidity providers as well as the retail firms to come up with a model that works for the retail. And they're very excited about having competition in this space. It's traditionally been a market held by one competitor, and they're looking for competition in price and bringing our technology to that marketplace.
Operator: The next question is from Michael Cyprys with Morgan Stanley.
Michael Cyprys: Maybe just continuing with the B100 and the B500 Index options that you're looking to bring to the marketplace here in the coming months. Can you just maybe elaborate a bit how you're thinking about how you might make this model work for retail? I think maybe one of the challenges -- but maybe not a challenge from a volume standpoint. But just one of the, I guess, frictions maybe has been commissions on some of these products on the index side. Is there -- what's the scope for commission free? How are you thinking about economics between what you might capture versus what the brokers might capture?
Thomas Gallagher: Michael, great question. And a centerpiece of our strategy for launching the B100 and the B500, particularly the minis or the Tinis is to get retail engagement. And if you look at someone like a Robinhood or someone like a Webull or a Ninja, they're all about cost of execution. And if you can get cost of execution for them down to something similar to what they enjoy in the options marketplace, where essentially their customers trade for free, I think you have a real ability to get quick adoption of a competitor to the S&P franchise. So I think we think about doing things that have not had to happen before, whether it's on CME or Cboe because they had basically a monopoly franchise on the S&P. So what we're going to try and do is come up with some alternative pricing mechanisms that will allow for these firms to enjoy extremely low cost of execution and then also provide opportunities with respect to strategies to engage with the market makers. Maybe 30 seconds for you, Shelly, on that side of it.
Shelly Brown: Yes. It's about getting retail engagement in the retail -- as Tom said, retail has gotten used to trading virtually for free in the equities and options space. Without giving away my full pricing strategy, we believe we can work with the retail firms and engage the retail customer. And what I believe we'll see is growth across the industry, just like free trading and options spurred growth from 18 million contracts a day pre-2020 to 60 million contracts-plus in the most recent year. So we think the whole pie will grow, and we believe we have a very competitive product, and the fees will be very appealing for the retail firms.
Thomas Gallagher: Thank you, Shelly.
Michael Cyprys: And then could you maybe elaborate on what the suite might look like initially versus over time? Would you expect to launch with the 0DTE complex initially or roll into that, what that might look like? And then can you talk a little bit about the go-to-market strategy? How you're thinking about building the brand, the awareness, the investor education? What sort of resources are you putting up against that?
Shelly Brown: Great question, Michael. So to be clear, we're starting to launch with the futures first. Futures will launch in the second quarter. The options will follow sometime later based on the take-up in the futures. You need a solid futures market for hedging purposes to support those options. Both the futures and the options will have a similar pricing strategy. Once we do list the options, we certainly plan to list short-dated options. Those have been extremely successful in other index products. I believe it's over 60% of the volume in SPX is short-dated options. So we certainly are planning to go down that path. You will see a very similar product suite across all products for both the Bloomberg 100 and the Bloomberg 500 compared to what's out there today with one of the key differentiators being all of our products will clear at the Options Clearing Corporation.
Michael Cyprys: And then just on the investor education?
Thomas Gallagher: In the investor education, we're going to work extremely closely with Bloomberg and also with the retail firms who are known for their great educational tools that they use, whether it's an NinjaTrader, whether it's a Schwab or whether it's a Robinhood. So we're going to work closely with the retail firms and then also with Bloomberg, who is very much aligned with us in this regard.
Shelly Brown: Yes. It's a combination of getting investors to understand that you get very similar exposure with these products. What we believe with Bloomberg to be a better constructed product based on the deterministic algorithmic methodology for our stocks that will be added, deleted from the indexes without a committee bias. Add that to the fact that, again, we're going to be very fee-friendly, but we're going to work very closely with the retail firms to provide co-education. And then Bloomberg, of course, is involved.
Operator: The next question is from Ken Worthington with JPMorgan.
Kenneth Worthington: I wanted to dig more into the Monday and Wednesday options. Maybe what are you seeing in terms of activity initially? And you and your peers sort of launched at the same time, how is market share trending between you and the others? And are you seeing the technology advantage sort of accrue to your benefit in terms of share?
Thomas Gallagher: Thank you, Ken. Great question. I'll start and maybe I'll talk to Shelly, who runs this business and turn to you about some of the volumes. But it's early right now, Ken. It only got listed on January 22, but we think the volumes in these names will come to us, but it's a bit early to tell. I think it really grows the pie overall for the options marketplace. And I'm very comfortable that we're going to get our normal cut of what we've been seeing in these 3 symbols. But Shelly, do you want to comment on what you're seeing so far?
Shelly Brown: Sure. And thanks for the question, Ken. It's been very successful to date. Of course, we've only been through a few weeks of expirations, today being one of them. We're seeing very large volume in each of these 9 stocks on these Monday and Wednesday expirations, similar to what we've seen on the Fridays historically. We think this is very positive for the industry. It's still too early to say how big of an impact it will have on overall volume. I think it is worth pointing out that in these 9 stocks, our market share over the last several months leading into this program has been just over 20% compared to 17.6% recent volume overall market. So we do outperform in these classes before the Mondays and Wednesdays were introduced. We're seeing similar market share in those front weeklies. Again, it goes back to the technology that Doug's team has built and the risk protections. So we do outperform in those stacks, and we believe that this will help us outperform overall.
Kenneth Worthington: Okay. Great. Maybe as a follow-up, when do we start to see the Tuesday and the Thursdays come online? And what do you need to see out of the -- I know it's just launched and I'm already asking that, right? What a j***. But given -- once you get all 5 days, it's different dynamics. So what do you think you need to see in the Mondays and Wednesdays to start to realistically consider asking for the Tuesdays and the Thursdays?
Shelly Brown: Reasonable question, Ken. There's a couple of considerations here. One of the things we're doing is we're trying to avoid earnings days for these stocks. So we're going to be careful not to saturate the calendar too much. I would expect that going forward, expansion of the program would be adding additional stocks to the Monday and Wednesday program long before we had Tuesdays and Thursdays to these 9 classes. I think that having Monday, Wednesday and Friday gives us good coverage across the week. They only are listed out 2 weeks. So there's a limited focus here. But I believe the pilot -- or it's not a pilot program, but the program will expand across classes far before it adds additional days. If you remember back when Mondays and Wednesdays were added to the ETFs, primarily SPY, QQQ and IWM, they were Monday, Wednesday, Friday for quite a long period of time. But I think investor demand would be better answered by expanding the program to additional classes rather than adding the Tuesdays and Thursdays.
Operator: The next question is from Jeff Schmitt with William Blair.
Jeffrey Schmitt: You had guided to adjusted operating expense growth of 13% to 18% for '26. What does that assume for top line growth? Or I guess, how should we think about the sensitivity of that number to volumes?
Lance Emmons: Good question. Yes, we don't -- it's Lance here, Jeff. Look, it's very hard to predict total top line revenue given that 60% of the revenue is transaction-based, so it's really based on market volumes. I will say there's certainly some sensitivity in those expenses, there is some discretionary investments that if volumes don't pan out the way we anticipate them to that we could peel that back. But nevertheless, we do have some planned investments in futures as well as some additional new product launches that's baked into that number.
Jeffrey Schmitt: Okay. And then I may have missed it, but do you plan on -- still plan on launching crypto and event-based products later this year? Or where do you stand on those plans?
Thomas Gallagher: So as you know, we announced that we recently entered into a transaction with Susquehanna and Robinhood, whereby we sold our stake in MIAXdx. So we now have accelerated access to the prediction markets. As it relates to the crypto markets, we're really focused on expanding our market share in the mature but robust options business and then executing the strategy that I've laid out for our new futures products, transforming MIAX Futures from a one-product agricultural exchange to a full-service financial futures exchange that not only caters to the institutional firms, but also the retail. So if an opportunity comes along that we think makes sense in the crypto area, we'll look at it, but it's not our primary focus right now. We have been in discussions with a number of folks, but it's not something I'm focused right now in 2026.
Operator: The next question is from Patrick O'Shaughnessy with Raymond James.
Patrick O'Shaughnessy: So you had some market makers participate in your secondary offering in December. Is there any evidence that they've shifted their market share at all since selling some of their shares?
Thomas Gallagher: Great question. So we see no evidence of that whatsoever. I think that you should look at us as similar to our exchange peers. Our equity rights program that allowed the strategic members to get their position in our company through their warrants and possibly the exercise of those warrants helped grow the business in the early years. But what's really keeping these market participants trading every day is the technology that Doug built with the low latency, high throughput, extreme determinism and also the risk protections that Shelly and Doug worked on together. So to the extent that a member firm was to sell some of their shares in that secondary offering, we've seen no impact whatsoever in our market share or their use of our 4 options and equities exchanges.
Patrick O'Shaughnessy: Very helpful. And then I appreciate that you're not giving a quantitative outlook for access fees and market data revenue in 2026. But can you kind of broadly speak to your expectations for how those revenue streams might trend?
Thomas Gallagher: Access fees and market data, Patrick?
Patrick O'Shaughnessy: Correct. How they would trend.
Lance Emmons: Yes. Look, I think in terms of access fees, we did put in some fee increases in January of this year. We think that will add a couple of percentage points to some fee increases. And then we continue to see member adoption taking additional lines in that nature. So continued growth in that area. In terms of market data, we have launched some new products, particularly in the last -- actually in the first quarter that we think will continue to grow our market data, not just again, the share from the tape plans, which is mostly driven by market share of trades loosely, but also from our own proprietary market data offerings. Shelly, if you want to talk for 10 seconds just on the new market data offering we introduced?
Shelly Brown: I don't know if I can only talk for 10 seconds. Some of the market data offerings are historical data and reports. There are several new reports out that are high demand. There's some both historical data available and ongoing reports. So it's been very good for us. We have several new reports in the pipeline. And it's again, high demand data that's very valuable in the industry. So we're mining our data and monetizing that.
Operator: The next question is from Chris Brendler with Rosenblatt Securities.
Christopher Brendler: Great job. I wanted to ask a follow-up actually on the fee increases that are proposed last week. Just some of the strategy and the thought process around the different categories here and whether or not you would have any impact on market share within your larger constituents versus your smaller customers? What's sort of the goal here? And how much elasticity do you think there is with some of these fee changes?
Thomas Gallagher: Thanks, Chris. Shelly, do you want to take that?
Shelly Brown: Sure. The primary fee change that you've seen going into March, we didn't change transaction fees. We did -- we had a small transaction fee change in January. The primary change you're seeing for March is we waived non-transaction fees for members on the Sapphire trading floor. And those members that have gone out to memorialize the fact that the waiver period ends the end of this month, this Friday, and fees will start to be charged on March 1. So that's the primary change for March.
Thomas Gallagher: Yes. Our practice, Chris, has historically been that when we launch a new venue, we have no non-transaction fees for a period of time or much lower to try and accommodate firms as they connect and volumes grow. So that was really just an expiration of what I thought was quite a generous moratorium on fees that started in September and it's going all the way through to the end of this month.
Christopher Brendler: That's fantastic color. Follow-up question is in a different area, and I'm not sure if this is relevant or not yet, but just thinking about how fast markets are developing and this push towards tokenized equities, does tokenization have any implications for MIAX today and possibly in the future?
Thomas Gallagher: Yes. Great question, Chris. We currently have no plans with respect to tokenization, but we are evaluating potential opportunities from partners. As you know, obviously, we operate several markets across securities and futures products and internationally. So when the right opportunity comes by, I think we're well positioned to take advantage of this. But I want to be very clear, it's not our primary focus right now. But as a market disruptor from the day we launched our first exchange in 2012, I fully support market innovation. But for right now, it's not part of our current plan. And I also want to see what shakes out in some of the filings that have been made by our competition with respect to some types of tokenized equity securities. Shelly, any last comments in a minute or 2?
Shelly Brown: Yes. I also understand that up to this point, the tokenization is focused on clearing of equities. Equities is a very small piece of our business right now. The majority of our business is options. There hasn't been talk about tokenization and options. And again, the talk of tokenization is primarily focused on post-trade clearing, not of actual trading. I'm not sure the technology is near ready for trading of tokenized securities on the chain.
Thomas Gallagher: Yes, our reliance is on OCC in this regard. So that's kind of our view on tokenization right now, Chris.
Christopher Brendler: That's fantastic color. Enough growth in the core business, you don't need to worry about it right now.
Thomas Gallagher: Yes. Thanks very much. Thanks for the support.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Tom Gallagher for closing remarks.
Thomas Gallagher: Thank you very much, Debbie. I just want to thank those of you that listened in today to our presentation. And I can't tell you how excited we are to bring to the marketplace our new financial futures products. From day 1 in working with Doug and our team, we never bring a product to market until prime time and everybody is connected. And we're really excited about the opportunity to demonstrate our capabilities as we move from options to cash equities into a full suite of financial futures products and primarily also taking advantage of the risk protections and the pricing strategies that Shelly, Doug and myself have developed. So really appreciate the support. It's been an exciting 6 months since the IPO. It's hard to believe it's been 6 months. But stay tuned for an exciting year in 2026, as we bring our futures products to market. So thank you very much, and have a great evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.